Operator: Good day, and welcome everyone to the Vital Signs Fiscal 2008 Second Quarter Earnings Results Conference Call. This call is being recorded as well as simultaneously webcasted. At this time for opening remarks and introductions, I'd like to turn the call over to Mr. Mark Mishler, CFO. Please go ahead, sir.
Mark Mishler: Thank you, Nathan. Welcome to the Vital Signs 2008 Fiscal Second Quarter Conference Call. I'm Mark Mishler, Chief Financial Officer of Vital Signs. Here with me today is Terry Wall, Chief Executive Officer; Alex Chanin, Chief Information Officer; and Jay Sturm, General Counsel. By now you should have received our press release for the fiscal second quarter ended March 31, 2008. To access the press release online, please go to www.vital-signs.com, and then click on Investor Relations, then click Press Releases. Before getting started, let me read our required disclaimer. All statements in this press release other than historical statements constitute forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from such statements as a result of a variety of risks and uncertainties including unanticipated delays in bringing new products to market, regulatory approval of new products, market conditions, and competitive responses, as well as other factors referred to by Vital Signs in its annual report on Form 10-K for the year ended September 30, 2007. The format will be as follows. I will provide a financial review, Terry will then provide comments, and then we will open up the call for your questions. Let's begin. Fiscal second quarter revenue of $58.9 million, increased by 11.9% over the prior year revenue of $52.6 million. Individual segment revenue and growth figures are Anesthesia $19.8 million, growth of 5% over $18.9 million in the prior year. Respiratory and Critical Care revenues of $12.3 million, representing growth of 3% over $12 million in the prior year. Sleep/Ventilation revenues of $16.6 million, representing a 36.9% increase over $12.2 million in the prior year. Interventional Cardiology/Radiology revenues of $7.2 million, which is 4% over $7 million in the prior year. The Sleep/Ventilation segment revenue growth is due to a combination of strong Breas sales in Europe, and two domestic Sleep acquisitions made in the second half of fiscal 2007. Fiscal second quarter gross profit of $31.8 million, increased by 16.1% over the prior year. As a percent of sales, gross profit this quarter was 53.9%, an improvement over the 52% in the prior year fiscal second quarter. Individual segment gross profit figures are Anesthesia 56.1%, and that's 390 basis points above the prior year. Respiratory/Critical Care 56.9%, that's 310 basis points above prior year. Sleep Ventilation 51.7%, that's actually down 120 basis points from last year. Interventional Cardiology/Radiology 55.7%, essentially even with last year. The gross profit margin improvements in the electrophysiology Anesthesia and Respiratory/Critical Care segments are due to lower material costs for facemasks provided by our China joint venture, and non-latex breathing bags produced in our New Jersey plant. Operating income in the fiscal second quarter of $13.2 million, increased by 11.8% over the prior year. As a percent of sales, operating income was 22.4%, the same as last year. Operating expenses this quarter included G&A and R&D costs from acquisitions made in the second half of last year, thus the comparable amount lasting year were zero. These costs include G&A expenses of $1 million from two domestic Sleep acquisitions and $0.2 million in R&D from the Enginivity acquisition. R&D costs increase by 42.2%, as we invested more resources in to our R&D pipeline. Operating income was affected by $0.4 million operating loss at our Do You Snore Sleep acquisition. In response, we are implementing $0.5 million in annual cost savings at Do You Snore. Net income in the fiscal second quarter was $10 million, which was 15.9% above the 2007 fiscal second quarter net income of $8.6 million. Diluted earnings per share of $0.75 in the fiscal second quarter were 15.4% above $0.65 in the prior year. Year-to-date revenue of $112.4 million increased by 12% over the prior year revenue of $100.4 million. Individual segment revenue and growth figures are Anesthesia $39.3 million, representing 7.3% growth over last year; Respiratory/Critical Care $23.2 million, essentially even with last year; Sleep/Ventilation $31.4 million, which is an increase of 39.8% over last year; and Interventional Cardiology/Radiology revenues of $12.8 million, which is essentially even with last year. The Sleep/Ventilation segment revenue growth is due to a combination of strong Breas sales in Europe and two domestic Sleep acquisitions made in the second half of last year. First half gross profit of $59.2 million, increased by 14.7% over the prior year. As a percent of sales gross profit for the first six months was 52.6%, an improvement of 120 basis points over the prior year six-month gross profit. Most noteworthy was the gross profit margin improvement in the Anesthesia segment to 54% from 50.8% in the prior year, this is due to lower material costs for facemasks and non-latex breathing bags. Operating income in the fiscal first half of $23.5 million increased by 11.4% over the prior year. As a percent of sales, operating income was 21%, essentially the same as last year. Operating expenses this half included G&A and R&D costs from acquisitions made in the second half last year, thus the comparable amounts for last year were zero. These costs include G&A expenses of $1.9 million from two domestic Sleep acquisitions, and $0.4 million R&D from the Enginivity acquisition. Net income in the fiscal first half was $18 million, which was 13% above the 2007 fiscal first half net income of $15.9 million. Diluted earnings per share of $1.35 in the fiscal first half were 12.5% above $1.20 in the prior year. Vital Signs' balance sheet continues to be strong. The current ratio is 10.3 to 1, and there is no debt. Cash plus cash equivalents plus short-term investments were $117 million at March 31, 2008. This balance would have been higher, but we reclassified $31 million of auction-rate securities from short-term to long-term investments. We intend to sell these auction-rate securities as soon as possible and our evaluating legal remedies against the bank that sold us these securities as they violated our written investment policy. The Company is a strong cash generator and cash flow provided by operating activities was $20.1 million for the six months. Expenditures for plant and equipment were $3.9 million in the first six months. About half was for domestic machinery to produce non-latex anesthesia breathing bags. This level of capital spending in the first half does not represent an annual rate and will be around $5 million to $6 million for the year. On May 6, 2008, the Board of Directors authorized an increase in the quarterly dividend to $0.11 per share payable on May 28, 2008 to shareholders of record on May 21. This quarterly dividend is higher by $0.01, or 10%. We are increasing our earnings guidance to between $2.82 and $2.87 per fully diluted share. At this time, I will turn the discussion over to Terry Wall, the Company's Chief Executive Officer.
Terry Wall: Thank you, Mark. Our Anesthesia segment continues to grow according to plan. Our Pediatric Limbo anesthesia circuit grew in double digits, and we're very pleased with the early adoption of our three new products. The enFlow blood/fluid warmer should be the largest revenue contributor of our new products, having already reached an annual run rate of over $1 million. Fluid warming is currently $60 million market that we believe will grow quickly in the future. Several studies have shown that keeping a patient normothermic perioperatively substantially reduces hospital-acquired infections. Additionally, the American Society of Anesthesiologists has proposed a pay-per-performance initiative in which anesthesiologists will receive a portion of their fee tied directly to maintaining a patient's temperature above 36 degrees centigrade. Our steel light laryngoscope blade has the largest potential of our new products. With this product we are seeking to convert the predominantly reusable the laryngoscope blade market to single patient use by demonstrating the infection control benefits and cost effectiveness to single use products. We have data showing that it's less costly to purchase steel light blade for $5 than to properly disinfect or sterilize a reusable blade. We are planning an independent study to confirm our previous studies and conclusions. The other obstacle in increasing as fast as we would like our laryngoscope blade sales is that the Anesthesia budget is basically impacted negatively by the sale of the laryngoscope blades where sterilization is actually a part of the hospital budget. Therefore, we need to help the anesthesiologist, the purchasing agents and administration to see the same cost benefit relationship, which does take time. Our third product, RediTube, is also progressing nicely and fills out an important piece of our airway management line. Teaching facilities, which are large institutions, are particularly interested in the product, because it eases the placement of the endotracheal tube. Vital Signs was recently awarded a three-year, multi-source laryngoscope group purchasing contract by Broadlane. In addition, we have expanded and extended our med assets contract to include all of our major product lines. So, we continue on a path of building a strong and diverse group purchasing organization portfolio, which will benefit our sales force. Our Respiratory/Critical Care segment rebounded slightly this quarter, but it's still not really meeting our expectations. We feel the sales force is still focusing more heavily on Anesthesia, especially in light of our new product introductions. But we will introduce a significant new Critical Care product in the fourth quarter of this fiscal year. An important future driver of our single patient use devices is the CMS decision not to reimburse hospital-acquired infections. This will begin next year. Other third parties may follow this same directive. These infections currently cost the healthcare system approximately $30 billion, as this is a burden that will shift to hospitals. They may become much more likely to evaluate different means of reducing and preventing these infections. We believe that this will dramatically help drive all of our single use product sales and in particular our single patient use blood pressure cuff, pressure infusers, and the laryngoscope blades. In our Sleep segment, our Do You Snore acquisition continues to be a challenge, although we are currently working diligently to rebuild this business. We have recently hired a regional manager and identified over $500,000 in annual savings, which will begin in the fourth quarter. Our other Sleep acquisition SST is doing well and performing above our expectations. Two important changes have taken place in the Sleep industry over the last several months, and I'd like to quickly touch upon how they may impact our Sleep business. In March, CMS announced that it would begin to reimburse for home sleep studies, but many key details in terms of reimbursement dollars, provider qualification remain unanswered. So far, these changes have not impacted SSA at all. Given the current information, we think that longer term it is reasonable to assume that home testing will increase awareness about obstructive sleep apnea and make the treatment more accessible. This could potentially increase titration studies where the appropriate level of CPAP and the proper facemask fit is assessed. This would allow SSA to provide more CPAP equipment as well. Competitive bidding is the other important issue that will impact SSA. Round two of competitive bedding is scheduled to begin this summer with contracts to be awarded in April of 2009. SSA locations in New York, Connecticut, Georgia, and Oklahoma will be impacted by this. Maryland, however, which contributes approximately 50% of SSA's patient volume, has not been included in the second round. Right now we have a relatively small base of CPAP sales, but we do expect this to grow as our Sleep strategy continues to expand. Even with the anticipated reductions in reimbursement for CPAP, our strategy of supplying equipment and ongoing accessories to the patients in our managed sleep centers remains attractive and has potential to improve SSA's already solid profit structure. Saving the best news for last, our Breas subsidiary continued its exceptional growth, 34% in Europe in both our iSleep line and our Vivo bi-level ventilator product lines both grew substantially. Breas has identified an underserved clinical need in Europe to treat COPD patients with noninvasive bi-level ventilation. We believe the success can be replicated both in Asia and the United States. To that end, we have signed an agreement with Hamilton Medical, a leader in ventilation, to sell and service the Vivo 30 and Vivo 40 in the United States. This agreement is expected to increase Breas sales in the US by approximately $800,000 during the remainder of fiscal '08. Breas is doing very well with its CPAP line in Europe. The weak US dollar, however, has made it unattractive to import Breas' Swedish manufactured CPAP product line in to the US. Therefore, we are exploring having the CPAP manufactured in China, which would open up both the US and Asian markets. Finally, our research and development pipeline has never been stronger. Our cost improvement projects, such as our New Jersey manufactured breathing bags are coming to an end. But other CIPs, including the local sourcing projects, have identified significant additional cost savings for fiscal '09. Nathan, we can open the telephone lines now.
Operator: (Operator Instructions). And we'll go first with Dalton Chandler with Needham & Co
Dalton Chandler: Good afternoon and congratulations on a nice quarter. Let me first start with the guidance. I know, of course, you only give guidance on an annual basis. We don't know exactly how you're thinking about the quarters, but you did beat the consensus this quarter by $0.05, but you're only raising your full year number by $0.02. Can you reconcile that for us?
Terry Wall: Always conservative.
Dalton Chandler: Okay. So, you're leaving yourself some breathing room?
Terry Wall: There has been potholes we found in the past. We like to make sure we have some room to steer around them this year.
Dalton Chandler: Okay. Fair enough. Then to come back to the Hamilton distribution deal, you mentioned, of course, the $800,000 potential for this year, but what do you think longer term that sort of deal could mean for you on an annual basis?
Terry Wall: I'd really not like to comment on that. I mean, we obviously are hoping for much bigger things, but we really need to see, if in fact, we think there is really an identifiable product niche that is below other competitors in the bi-level ventilation field, meaning price-wise, we think $3,000 to $7,000 bi-level ventilation market is available in the US. In Europe, they treat the COPD patients, quite frankly, at home, and they treat them earlier than we do in the US. This is so successful. It's pretty hard to believe that this is not going to come in to the US.
Dalton Chandler: Okay.
Terry Wall: So, we're optimistic, but we like the fact that Hamilton is also sort of validating this product niche for us, I think, a very good partner for us in the future. But I think we both need to take both Hamilton and ourselves, one step at a time, get out there, show us that they can do it. It could be a partnership long-term.
Dalton Chandler: Okay. And then just a housekeeping. I think you gave us the cash from operations in CapEx for the first half of the fiscal year, but do you have those two numbers for the quarter?
Terry Wall: Mark is shuffling through his papers.
Mark Mishler: The cash flow from operating activities for the quarter was at $3.9 million, and the property plant and equipment expenditures were $1.3 million.
Dalton Chandler: Okay, thanks a lot, guys.
Terry Wall: Thank you.
Operator: We'll go next to Taylor Harris with JPMorgan.
Taylor Harris: Thank you. First question is just gross margin. You obviously had a really strong gross margin quarter here, and items that you mentioned appear to me to be sustainable drivers of that. So, I want to make sure that that's the case, and would you direct us for the second half of the year? Do you think you can stay at this gross margin level?
Terry Wall: This is Terry. I'll answer first and I'll let Mark comment. The two things are definitely sustainable. The non-latex breathing bag is a product we brought out of Malaysia in to the US. It's in our own plant New Jersey. We have identified additional cost savings; quite frankly, it will take place primarily in '09. We may get a little, a small amount of that benefit this fiscal year yet through even additional savings through changing material suppliers. On the facemask, the anesthesia facemask, that's a result of our joint venture in China, and as that process and their experience continues, I expect to get not major, but minor improvements as we go along. So, not only do I think we can maintain it, I think we can slightly expand those two in addition to other cost savings. So, we're very optimistic as to our overall performance going forward.
Taylor Harris: Okay. And it was most, because we saw a big step up from the first quarter to the second quarter, and is that really just the timing of these initiatives?
Terry Wall: The first quarter, you have to remember we were getting Respironics facemask in here until January, and we had a supply of theirs to go through, so Chinese mask savings really didn't impact us that much until then. The breathing bag has been the three liter was probably spread over a longer period of time. We still haven't received the impact from the half and some of the one liter bags. So, that's still in process, although thee liter is the bulk of the savings. I say, the bulk of that project is behind us, but there is no reason to think as we gain experience, our history is we get better at things.
Taylor Harris: If I put in the same gross margin for the back half of the year that you guys had in the second quarter, it should give you some pretty good room for spending initiatives SG&A and R&D. Are you looking at it that way? Are there things that you may want to increase investment in the back half of the year?
Terry Wall: We certainly going, we are evaluating. I don't know exactly when we'll pull the trigger, but I am evaluating expanding our sales force for fiscal '09. I think the jump in R&D will probably stay roughly where it is.
Taylor Harris: Okay.
Terry Wall: There may be some tweaks on the upside of that. We have a new product, an important one coming out in the fourth quarter. Whenever you launch a product, sometimes there's some additional costs associated with that.
Taylor Harris: Okay, that helps.
Mark Mishler: I would add that from a G&A side; we're looking to move in the opposite direction through cost improvements.
Taylor Harris: Okay, great. Then just a set of operational questions on the Sleep business. Terry, if I heard you right, you said Breas grew 34% in Europe. So, is my math right that you did about $10 million of Sleep sales in Europe, with the balance $6.5 million or so the SSA business?
Mark Mishler: Yes, Breas was $10.1 million in sales.
Taylor Harris: Okay.
Terry Wall: Good, Taylor. I'm impressed.
Taylor Harris: That was some quick multiplication there. So, SSA, can you just tell us may be some of the underlying dynamics, what were the number of beds, what are you seeing in terms of utilization rate? And if you could give us a number for the CPAPs you sold in the quarter?
Terry Wall: I'm going to let Alex do that. He got too much detail for me.
Alex Chanin: Okay. I'll start with the number of beds. We ended the '08 quarter with 248 beds total. That includes the SSA business and our two acquisitions. And the number of CPAP units, we've ended the same quarter at 959 CPAP units.
Taylor Harris: Okay. 959 is that what you said?
Alex Chanin: 959, yes.
Taylor Harris: Okay. And are you still getting the same pricing on those that you have the first few quarters?
Alex Chanin: Yes.
Taylor Harris: Okay. All right. And how about just in utilization trends on the beds in SSA, any material changes there?
Alex Chanin: It's been similar, comparatively.
Taylor Harris: Okay, great. Thank you guys very much, and congrats on a good quarter.
Operator: We'll go next with Mark Mullikan with Piper Jaffray.
John Carter: Hi, this is actually John [Carter] on for Mark. Quick question, you guys mentioned on the call your shift in cash, or some of your short-term investments to long-term investment, because of auction rate securities. And then I also saw that most of your short-term investments were to cash. Is this going to have any impact on your interest income going forward? And specifically in the auction rate securities on the long-term investments, how long do you see that being in that category?
Mark Mishler: We wanted to get out of those auction rate securities as soon as we can. At the beginning of the second quarter we had $86 million auction rate securities. Started to get out in January and now we're down to $31 million at cost. So, as soon as we can get out of those, we will. When the auctions started failing, there was a brief kick-up in interest rates as they were max rates that were impacted, but those have come down a bit.
John Carter: Okay. And then in terms of use of cash, so you've got all this here. What is your view on acquisitions right now, any update on that? And then I know you guys were focusing on may be something in Europe as a distribution channel for your products. Any update there?
Terry Wall: We're continuing to work very hard to find an appropriate acquisition, but we don't have anything at all to report on.
John Carter: Okay. And then just kind of one quick clean-up question, on the Sleep business, you kind of broke out Breas and SSA. Any chance we can get an organic growth rate for Sleep, and then organic for SSA?
Mark Mishler: The Breas business actually is all organic growth. So, the 34% that Terry had reported, we're very pleased with. That's all organic. On the SSA side, the organic business was roughly flat, up about 4%. And the rest of it was acquisitions.
Terry Wall: If you take out the Sleep acquisitions, however, our earnings go up and our sales go down by less than percentage point, or roughly a percentage point.
Mark Mishler: Yes, there was a small impact on sales.
John Carter: Great, well, thank you very much.
Operator: And Joshua Zable with Natexis has our next question. Joshua Zable - Natexis Hey, guys. Congrats on a great quarter and great outlook, and thanks for taking my questions here. I'm just going to piggyback on some of the other questions. I know, I think it was Taylor asked about spending later in the year. You made a comment both in the press release and in your prepared remarks about potentially looking to go overseas to manufacture some Breas units. Can you just kind of talk about some spending there or what the plan is, or potential hiccups associated with that?
Terry Wall: I'm not sure I understand your question. I'll just tell you what we're doing. I think as a result of our JV in China, John Easom our Business Development Manager, and myself, have now been over there three times. John may have been four times. We were just to one of their large medical conventions. Every time I go over there my eyes get bigger. You have to understand that the cost savings that we have accomplished, one of them is really by bringing product out of Asia and back in to New Jersey. The other one is a result of switching from Respironics to our own JV. We see the opportunity to move may be one or two other JVs over there. We see some sourcing of material that we buy right now from third parties. So we're not going to impact any of our jobs in the US and still save significant money. Very impressed with what they're doing over there. I like their energy, you've got to invest a little bit to help them on the quality side, but once you do that, you get a good return. So, we're very excited about what the potential for Vital Signs is in China. Joshua Zable - Natexis I guess just to clarify there. I mean, obviously you guys have done a great job here moving the Respironics to the JV. Just so I understand, so Breas, if it's being manufactured in Europe now, basically, you would take that manufacturing and move it to China, correct?
Terry Wall: That's the plan. We have identified a number of potential partners for us over there; I guess John is leaving Sunday to go back. We have a country manager over there, who is knowledgeable on CPAP and is assisting John in the selection process. Joshua Zable - Natexis Okay. And the manufacturing in Europe is yours, so you can control that supply, and you obviously will have a handle on when you guys are going to be up in running and how much inventory you need to build?
Terry Wall: Correct. Joshua Zable - Natexis Okay, cool. Just clarification on that grade. And then just going back to the respiratory product, you kind of alluded to an important product coming down later in the year. I don't know if you didn't mention it for competitive reasons…
Terry Wall: That's exactly right. Joshua Zable - Natexis All right, fair enough. And then just on the sales force regarding that, clearly, the sales force is going to be focused with Anesthesia, new products and great new products and doing very well with it. If I recall correctly, about a year ago or may be a little bit more, you guys actually had sort of reevaluated how the sales force was getting compensated relative to anesthesia and respiratory. I think you had upped the respiratory. Again, I may be wrong on this, but that's what I recall. Any thoughts of that, or is that sort of still the same setup? Anything changed there? Just trying to get a little bit more color.
Terry Wall: I don't like to change the horse race in the middle of the race, so that stay the same, but we do feel we need with these new products that more salespeople will help us. It will take us a month or so to do all the proper analyzation, and we've got to go find the people. So, first quarter '09 is our target point to be adding the people. Could we move that up slightly, if everything goes a little faster? Joshua Zable - Natexis Great and then just clarity, this question was asked on the gross margin. Just to understand, basically, as the mix of the cheaper manufactured stuff comes through, that's what's going to be improving your gross margin. Plus, obviously, all these other programs, but basically when you're thinking about the gross margin expansion, it's really a function of sort of just a flow through of mix, of costs effectively?
Terry Wall: Let see, if I say it over slightly differently. What accounted for the majority of our gross profit improvement this quarter, we really found two items only, our Anesthesia mask joint venture and the breathing bags that we moved to New Jersey. So, those two were really by and large 85%, 90% of the cost savings. We also had some cost savings from our resuscitator product that we have like three phases, and I think we're finished four phases. We're halfway through that project. So, we've got some cost savings in the Respiratory segment primarily from the resuscitator, a little help from the mask, because we do sell some mask in the resuscitator product as well. And the bulk of the Anesthesia and the breathing bags go in to Anesthesia. Now, we have a lot of projects identified for the rest of '08, but they're smaller in nature, and there is no reason to think that the savings we have gained in the bag and the mask are going to go backwards. They may not have to get 190 basis points in a quarter. We're not looking to do that again, but we're not looking to slip backwards, either. Joshua Zable - Natexis Right. So, I guess just year-over-year, when I think about next quarter, this coming quarter versus last year's quarter, the mix of products, I guess, you're having sort of cheaper manufactured stuff flow through, so that's the boost that you're looking at. Again, aside from the other projects?
Terry Wall: That's correct. Our new projects got very nice gross profits as well. Joshua Zable - Natexis Okay, great. And then just one final question, just getting back to Sleep here. Terry, thanks, I think you did a great job outlining the different dynamics and sort of how it affects you guys, or could affect you guys. Can you just talk about, I think you sort of broke out, it seems like, SSA without Breas was flat. Can you just kind of talk about volumes a little bit? I guess they're flat because you said pricing was flat, so I imagine volumes are kind of flat. If you think that's a function. I mean, I know sort of it seems like there are a lot of questions in the industry now related to those two specific issues or changes you kind of alluded to. And then that's the first part. And then the second part of the question would be with home diagnostic testing kind of coming through, I definitely continue to believe there is a real look for the Sleep lab for not only titrating, but also for your patients with comorbidities, whether it's heart failure or diabetes. From the work I've done, it seems like those aren't the appropriate patients for home testing anyway. So, even on the testing side, but I guess what I'm getting at is if home diagnostic testing catches on like we all think it will in some way, shape or form, what role can you guys play as far as even though your SSA running a lab, can you play a role in doing some testing at home?
Terry Wall: Yes, we can. I don't know how large a segment. Well, the first thing is that CMS reimbursement. We really need to do this either on a regional basis or give clarification. Right now, if there are no dollars attached to it, I can guarantee it nobody's going to do it, including us. So, they've got to first put some dollars on the table, and then we are, quite frankly, assessing a number of different strategies, because it's all really dependent on what the dollar figure is. Joshua Zable - Natexis Okay.
Terry Wall: We have done home studies before. I f a physician or a particular patient has a particular problem, we still do home studies. It's not very profitable and therefore we don't love to do them, we will do them and we have experience doing them. So I think that is still pretty much up in the air. We'll see. I agree 100%, if the patient has comorbidities, a home study is probably not the appropriate treatment, and I think many of these patients do have comorbidities. And one of the ways you find out is through doing a multi-channel sleep study. Joshua Zable - Natexis Okay.
Terry Wall: Kind of this why that's such a great idea unless the physician can really have adequate testing done that has ruled out all the comorbidities. I guess we're still in the wait-and-see category. Joshua Zable - Natexis Fair enough. We're all waiting and seeing. But I'm just getting back to the volumes of actual Sleep labs for the quarter, as far as what you're seeing and just trends like that. Can you give us a little color?
Terry Wall: Do You Snore has been very time consuming, diverting management attention in SSA. Quite frankly, I want to see SSA step up this quarter. They need to get that Do You Snore resolved. They've got to build some new referral contacts down there. We have to get back to business as usual while we're waiting to resolve this legally. We can't continue to hope that that's going to be the only way to resolve this. We've got to roll up our sleeves and start working. I think the first step right step is hiring a Regional Manager. So, I think that's a step in the right direction. Identifying the cost savings is another step in the right direction. I'm looking to see more. Joshua Zable - Natexis And then one just quick follow-up and sorry this is the last one, I promise. Just with regards to acquisitions on the Sleep lab side, I know you've talked about in the past with all these changes going on, you're kind of taking care of your business right now in terms of the ones you have acquired, obviously, with changes going on. Is it safe to assume that you're not going to make any other DME acquisitions until sort of all this stuff is resolved?
Terry Wall: I won't say all this stuff is resolved until we see a clearer picture, yes. Joshua Zable - Natexis Okay, fair enough. Thanks very much, guys, for taking all my questions. And, again, congrats on a great quarter.
Operator: And Greg Brash with Sidoti & Company has our final question.
Greg Brash: Hi. Thanks for taking my call. Curious on the Maryland Sleep model. How many centers now are you selling CPAPs, and what's your plan to expand that model in to some of the other SSA labs?
Terry Wall: We have five sleep centers in Baltimore that are routinely using our CPAP. It's really not ours Respironics.
Greg Brash: And do you still plan to expand that to additional labs throughout the year?
Terry Wall: Yes, we do. Absolutely. We've hired someone that's his job to focus now on CPAP. So, we're trying to get the message through that this is an extremely important issue is to grow that CPAP business.
Greg Brash: You mentioned a number of CPAP units. I know it includes your acquisitions too and Do You Snore, 958 units. What is that on a revenue basis? I think you mentioned it was around $1.5 million last quarter.
Mark Mishler: It's about the same, Greg.
Greg Brash: Okay.
Mark Mishler: I'm shuffling through to get you the right number.
Greg Brash: So, $1.5 million?
Mark Mishler: Yes, just shy of it.
Greg Brash: Okay. And then, Terry, some of the other hospital supply companies out there have talked about a slowdown in general for surgery procedures, specifically some elective procedures. I was just curious if you've seen any impact on your business?
Terry Wall: I'm old enough to remember a couple of recessions. I'm not saying you don't get any people postponing electric procedures. But by and large, the general anesthetic procedures that we're involved in fall in to the more serious type of anesthetic procedures. This is not locals. It's not even regional that we're involved in. So, I don't really look for any real slowdown in our business.
Greg Brash: Okay, all right, well, thank you for taking my questions.
Operator: And with no final questions, I'd like to turn the conference back over for any additional or closing remarks to our speakers.
Terry Wall: I just want to thank everyone for participating in the call, and we look forward to talking to you next quarter. Thank you very much.
Operator: That does conclude today's presentation. Thank you for your participation and have a great day everyone.